Operator: Ladies and gentlemen, thank you for standing by. Welcome to the 2018 Second Quarter Earnings Conference Call for Clear Channel Outdoor Holdings, Inc. At this time, your telephone lines are in a listen-only mode. Later there will be an opportunity for questions and answers and instructions will be given at that time. [Operator Instructions] As a reminder, today’s conference is being recorded. I’ll now turn the conference over to your host, Eileen McLaughlin, Vice President, Investor Relations. Please go ahead.
Eileen McLaughlin: Good morning, and thank you for joining Clear Channel Outdoor Holdings 2018 second quarter earnings call. On the call today are Rich Bressler, Chief Financial Officer; and Brian Coleman, Senior Vice President and Treasurer. We’ll provide an overview of the 2018 second quarter financial and operating performances of Clear Channel Outdoor Holdings, Inc. and Clear Channel International, B.V. After an introduction and a review of the quarter, we’ll open up the line for questions. Please note that we will not be able to answer any questions on iHeartMedia’s operations or its bankruptcy process. Before we begin, I’d like to remind everyone that this conference call includes forward-looking statements. These statements include management’s expectations, beliefs and projections about performance and represent management’s current beliefs. There can be no assurance that management’s expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please review the statements of risk contained in our earnings press releases and filings with the SEC. Pacing data will also be mentioned during the call. For those of you not familiar with pacing data, it reflects orders booked at a specific date versus the comparable date in the prior period and may or may not reflect the actual revenue growth rate at the end of the period. During today’s call, we will provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We’ve provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases and the earnings conference call presentation, which can be found on the Investors section of our website, clearchanneloutdoor.com. Please note that our earnings release and the slide presentation are available on our website, www.clearchanneloutdoor.com, and are integral to our earnings conference call. They provide a detailed breakdown of foreign exchange and non-cash compensation expense items, as well as segment revenues, operating income and OIBDAN among other important information. For that reason, we ask that you view each slide as Rich comments on it. Also, please note that the information provided on this call speaks only to management’s views as of today, July 31, 2018, and may no longer be accurate at the time of a replay. With that, I will now turn the call over to Rich Bressler.
Rich Bressler: Thank you, Eileen, and good morning, everyone. Thanks for joining Clear Channel Outdoor’s Earnings Conference Call for the second quarter of 2018. Before I speak about Clear Channel Outdoor’s results, a few words on iHeartMedia. The Chapter 11 process is moving along as anticipated. However, as I’ve mentioned previously, while we continue to file our quarterly financials with the SEC, we will not host an earnings conference call for iHeartMedia during its bankruptcy process. Back to Clear Channel Outdoor. I’m pleased to report growth in consolidated revenue, operating income and OIBDAN for the second quarter. This growth is due in part to our commitment to strategic initiatives that continue to transform how we do business and meet the needs of our advertising partners in today’s digital-centric advertising world. To deliver the creativity, flexibility, measurability and innovation that advertisers want and expect, we’re continuing to improve our assets and offerings on several fronts, including by expanding our digital network and enhancing on data analytics and programmatic solutions. These solutions enable us to work more effectively and in new ways with our marketing and advertising partners, opening up new pathways to grow. In the second quarter, we installed over 450 digital displays in our markets across the U.S. and International. We now have over 1,200 digital billboards in the U.S. and more than 14,000 digital displays in our International markets. Our industry-leading data analytics capabilities include RADAR, a proprietary suite of products that continues proving itself as a great campaign solution for brands in the U.S. market looking to understand who sees their ads and learn what happens afterwards. By leveraging our aggregated and anonymized mobile location data, RADAR has achieved impressive results for both national and local brand partner. For example, in industries that include auto, QSR, and retail, partner advertising campaigns have generated double and triple digit percentage lifts in store visits. In addition, our first-to-the-market programmatic solution continues to attract new clients, helping us renew and extend contracts with the existing partners by transforming how inventories work. This means a buyer can access measurable and audience-based solutions, check availability, and buy out-of-home through an online platform in the same way as online media. Combined with our digital network, our programmatic solutions are capable of real-time campaign optimization and delivery. We believe that these are the kinds of innovations and initiatives that will bring new advertising revenue to the sector and to us. Now, onto the financial highlights of the second quarter. During our GAAP results discussion, I’ll also talk about our results adjusting for foreign exchange and excluding the impact of our Canadian business, which we sold in 2017. We believe this improves the comparability of our results to the prior year. In addition, as I mentioned last quarter, we have moved the Latin American operations to our International segment. Both the current year and prior year results have been adjusted to reflect the new reporting. I will refer to those results as adjusted revenues and adjusted OIBDAN, and I’ll refer to the direct operating and SG&A expenses as adjusted expenses. During the second quarter, consolidated revenue increased 5.9% to $712 million due to both foreign exchange rates and growth in the International business. Adjusted revenue was up 3.5% with both the International and American businesses contributing to this growth. Consolidated operating income increased 7% to $94 million and adjusted consolidated OIBDAN was up 8.7%. Moving on to Slide 5. I will discuss Americas financial results in more detail. During the second quarter, Americas revenue was down slightly due to the sale of our Canada business in August 2017. Adjusted revenue increased 2.1% due to the continued strength in our local business with both digital and print up in the second quarter. This is consistent with the first quarter's results. Within digital, both new and existing boards were up and within print, both posters and bulletins were up. Expenses declined due to the sale of the Canadian business. Adjusted expenses were up 0.8% with direct operating expenses up due to increased site lease expenses. SG&A was down slightly. Operating income grew 5.1%. Adjusted OIBDAN was up 4.1% due to increased revenues and the OIBDAN margin expanded slightly due to mix. Our pacing for the third quarter was up 3.2% as of last week. Turning to Slide 6 and our International financials. In the second quarter, reported revenue was up 10.7% and adjusted revenue increased 4.7% driven by growth in several European and Asian countries. Sweden delivered a great quarter with growth attributed to both a strong market and digital performance. China continues to generate growth. Spain benefited from the continued ramp-up of digital revenue in Madrid. In addition, Switzerland was up. Expenses were up 8.1%. Adjusted expenses grew 2% with direct expenses up due to increased lease expenses in countries experiencing revenue growth. SG&A was down primarily due to lower expenses in China, partially offset by higher expenses in Sweden. Operating income increased 27.3%. Adjusted OIBDAN was up 15.2% due to increased revenue and improved margins in countries delivering revenue growth. Pacing for the third quarter increased 0.9% as of last week. Before we go onto the rest of the slide, I would like to make a few comments on CCIBV's results. The second quarter CCIBV's consolidated revenue totaled $311 million, a $32.2 million increase from the prior year. On adjusted basis, CCIBV's revenue increased $14.3 million during the second quarter. CCIBV's operating income was $17.5 million in the second quarter compared to operating income of $14.5 million in the same period last year. Please turn to Slide 7. Capital expenditures totaled $61.3 million for the six months ended June 30 with $32.6 million occurring in the second quarter. The decline in the six months is primarily attributed to the installation of new displays in Spain in 2017 and the timing of capital expenditures in the Americas. We expect CapEx in 2018 to be in the range of $200 million to $220 million as I stated last quarter. The slight decline from the prior year is primarily due to increased spending in Spain in 2017 that I just mentioned. Now on to Slide 8. Clear Channel's consolidated cash and equivalents totaled $172.3 million as of June 30, 2018. This balance includes $153.8 million of cash held outside the U.S. by our subsidiaries. Our total debt was $5.3 billion, a slight increase from year-end. The weighted average cost of debt was 7.1% as of June 30. During the first six months of the year, cash interest expense was $187.3 million and cash dividends were $30.6 million. Our senior leverage ratio was 4.5 times with consolidated leverage at 8.7 times. We expect cash paid for interest in 2018 to be approximately the same as 2017. In June, we entered into a receivables-based credit facility to replace our existing credit facility scheduled to mature in August. As of June 30, the new $125 million facility at a borrowing base of $112.2 million and $60.7 million of letters of credit outstanding resulting in $51.5 million of excess availability. Before taking your questions, I want to thank you, again, for joining us this morning. We believe our investment in the innovative digital, data analytics and programmatic solutions I mentioned earlier on the call will enable advertisers to realize the increasing benefits of including out-of-home solutions in their advertising campaigns. And we're optimistic that these enhancements will help drive global growth for out-of-home. We're not alone in this field. The industry researcher magna has projected that digital out-of-home will go faster than digital media over the next five years. Our growth this quarter is not only a short-term positive for Clear Channel Outdoor, it's a validation of our long-term strategic focus to be at the forefront of innovation within the out-of-home industry. Looking ahead at an increasingly digital media landscape, we'll continue upgrading and enhancing our offerings so that advertisers can tailor their campaigns to be at the light location to reach the right audiences at the right time with the right message. I look forward to continue sharing our progress on these fronts going forward in the second half. Before we open up the line for questions on Clear Channel Outdoor's operations, I would like to remind you that I'll not be able to answer any questions on our iHeartMedia's operations or its bankruptcy process. Operator, I can now take the first question?
Operator: [Operator Instructions] We will go first to the line of Avi Steiner with JPMorgan. Go ahead, please.
Avi Steiner: Thank you and good morning. A couple here. First off, I know a quarter doesn't make a trend and I don't want to focus on pacing either, but there seems to be a bit of sequential strengthening in your Americas business, if I look at it constant currency same board basis. And I'm wondering if you can touch on whether it's anything specific, whether it's a particular vertical or something that's driving that? And then I've got a couple more. Thank you.
Rich Bressler: Hey, Avi, good morning, it's Rich. Look, as you said, just for integrity, we say pacings were point in time and one quarter does not make a trend. But having said that, we feel good about our businesses both in the U.S. and outside the U.S., particularly in the U.S. on the local – the local business in particular has shown strength. We don't comment anything specifically, but we continue to see strength in our digital revenues in addition to our local business, and I'm also really pleased when you kind of look around the country and the market, the strength is pretty widespread locally. Los Angeles, Chicago, Dallas, San Francisco, Philadelphia, so it goes throughout, really does go throughout the company. In terms of the industry, things like media, banking, the travel industry, all continue to show signs of strength. And outside the U.S., pretty good strength across – really kind of across the board and you also saw the KOW reported results, I'm sure you noticed last week, and we significantly outperformed the KOW in the first half of this year. And also, the investments that William and his team made last year in Sweden and Spain, we continue to see the benefits of those in our results here. And we even saw some strengthening in France, which as you know is our largest market, was up slightly in the quarter. So it's really – it's very widespread, and I'm pleased about all the results, and we had a great management team both in the U.S. and outside the U.S. meeting those.
Avi Steiner: Thank you. And then a couple of balance sheet ones. The first is just on the revolver upsides at Outdoor. I assume it's just rainy day money, but maybe it's reduced reliance on parent, perhaps, if you can just speak to that quickly that will be helpful?
Brian Coleman: Sure, Avi, it's Brian. The actual LC needs at Outdoor have grown over the past couple of years, and we actually put in place a bilateral line a little over a year ago, and so we are using both the credit facility and the bilateral line primarily as LC backstops. With the conversion to the new ABL and increase in size, that ABL and increase in size, that eliminates the need for the bilateral line and we can combine both under a single facility. And then, of course, what's not being utilized for LC is available for additional incremental liquidity. I guess, you could call it Rainy Day money, but I think in Outdoor's case, having $125 million of capacity versus $75 million is a benefit and can support both their LC need and potential liquidity needs as well.
Avi Steiner: Great. And last one if I can. I'm curious how you think about the maturity profile here, obviously not the first time you've got the question. But I think the subs will probably be current first quarter of next year, and I ask this really because the time line for parent's exit could slip. I don't want to say, will slip, but given everything that's going on there. So just maybe any thoughts there would be great? Thank you very much for the time.
Brian Coleman: Sure, I mean, I would kind of divide it between the tactical and the strategic. Tactically speaking, there is a significant amount of subordinated notes due in early 2020, which means they're all current in early 2019, which is not too far away from the anticipated emergence and separation, I do think that's something we need to be looking at today, those notes trade pretty well. I think we had options. So we should explore those options. I think the trick will be balancing that with the strategic initiatives that may or may not need to occur at Outdoor as they address their overall capital structure, and what I mean by that is, that's something that likely new equity ownership, new Board of Directors would want to weigh in on. So how do we address the 2020 maturity without perhaps having definitive answers on some of the more strategic initiatives that need to happen at the company. And so part of that exploration of what options are available to us is exactly that. And it may result in a shorter-term kind of focus on the subordinated note maturity as opposed to something more comprehensive. But we still are looking at various options and working on what fits best.
Avi Steiner: Thank you, Brian. Thank you very much for the time.
Operator: And we'll go next to the line of Marci Ryvicker with Wells Fargo. Please go ahead.
Stephan Bisson: Good morning. It's Stephan on for Marci. One question on the Americas pacing. Are you guys seeing any benefit from political advertising?
Rich Bressler: No, I mean, look, we're always looking for opportunities. It's virtually capitalized on any incremental political spending as we should be. But historically, it's been a very small percentage of our revenues. So we shouldn't plan anything more than a very small percentage, and we're not.
Stephan Bisson: Okay. Do you have – I want to know how much the Outdoor business did in 2014 of hand?
Rich Bressler: $2 million to $3 million, I mean, but it's small.
Stephan Bisson: Okay. And then on RADAR, that's some very interesting data just on increased store visits? Is there any particular way to quantify the revenue benefit either, whether it's currently seeing or kind of quantify it going forward?
Rich Bressler: No, we're not going to quantify. Just as a reminder for the benefit of web and the phone, we rolled out RADAR, which is our data analytics tool in 2018, and we've had both growth on the local and national brands, particularly in verticals like auto, retail, entertainment, tech, travel. And we've seen quite frankly, double – and they've seen double and triple digit percentages in terms of their increases in their business campaign. I'll give you one example, which maybe helps quantify a little bit without the numbers is a local print business we did. We did a recent campaign we developed for Honda in Northern California. And working with the client, we created a six-month campaign that ran last year primarily using printed vinyls, excuse me, posters and title locations identified by RADAR. Then we took RADAR's mobile retargeting capabilities. Mobile ads were sent to the consumers who were exposed to the out-of-home campaign or visited Honda dealership, and the result of that, the traditional out-of-home to be clear, with the new technology, the auto dealers that participated saw an 80% lift in their visits after that campaign. Again, that's why we – that's just an example of why we continue to be so excited about RADAR.
Stephan Bisson: Great. Thanks so much for the color.
Rich Bressler: Okay.
Operator: [Operator Instructions]
Unidentified Company Representative: Allen, we will be ending the call at this point. But Brian Coleman and Eileen McLaughlin will be available for any additional questions that anybody will have during the next few days. And I want to thank everybody for participating in the call this morning.
Operator: And ladies and gentlemen, that will conclude your conference call for today. Thank you for your participation and for using AT&T's Executive TeleConference Service. You may now disconnect.